Operator: Good day. My name is Chloe, and I will be your conference facilitator. I would like to welcome everyone to the Aeva Technologies Third Quarter 2024 Earnings Conference Call. [Operator Instructions] As a reminder, today's conference call is being recorded and simultaneously webcast. I would now like to turn the call over to Andrew Fung, Senior Director of Investor Relations and Corporate Development. Andrew, please go ahead.
Andrew Fung: Thank you, and welcome, everyone, to Aeva's third quarter 2024 earnings conference call. Joining on the call today are Soroush Salehian, Aeva's Co-Founder and CEO; and Saurabh Sinha, Aeva's CFO. Ahead of this call, we issued our third quarter 2024 press release and presentation, which we will refer to today and can be found on our Investor Relations website at investors.aeva.com. Please note that on this call, we will be making forward-looking statements based on current expectations and assumptions, which are subject to risks and uncertainties. These statements reflect our views only as of today and should not be relied upon as representative of our views as of any subsequent date. These statements are subject to a variety of risks and uncertainties that could cause actual results to differ materially from expectations. For a further discussion of the material risks and other important factors that could affect our financial results, please refer to our filings with the SEC, including our most recent Form 10-Q and Form 10-K. In addition, during today's call, we will discuss non-GAAP financial measures, which we believe are useful as supplemental measures of Aeva's performance. These non-GAAP measures should be considered in addition to and not as a substitute for or in isolation from GAAP results. The webcast replay of this call will be available on our company website under the Investor Relations link. And with that, let me turn the call over to Soroush.
Soroush Salehian: Thank you, Andrew, and good afternoon, everyone. Aeva in Q3 continued to gain momentum across multiple fronts as more customer programs and industries look to adopt Aeva's unique 4D LiDAR technology to enable next-generation solutions. From new production awards to key milestones achieved towards production with existing partners and progress on securing additional wins, Aeva achieved major accomplishments this quarter, and I'm excited to highlight a few of them. First, we secured a major industrial production win for security applications with The Indoor Lab in a multiyear supply agreement with the opportunity to deploy Aeva 4D LiDAR at multiple large locations across the U.S., starting with JFK and SFO airports, followed by plans to grow additional deployments on other applications. This is an exciting expansion for Aeva that offers meaningful revenue potential and builds on our first win in security earlier this year. In automotive, our production partners Torc and Daimler Truck achieved an important milestone towards safe and scalable commercialization with a successful validation of fully driverless operations at highway speeds. Of course, Torc's autonomous trucks are equipped with Aeva 4D LiDAR as the exclusive long and ultra-long-range LiDAR supplier. It is incredibly rewarding to be a part of such tangible progress towards bringing Daimler Truck's autonomous truck program to production. Aeva was also selected for a major European passenger OEMs automated vehicle validation program because of our FMCW advantages like direct velocity measurement, which will be used to help validate the OEM's next-generation vehicle automation systems. And lastly, Aeva remains on track with multiple RFQs for passenger vehicle production programs. In particular, we continued to advance further towards the finalization of the RFQ for a global top 10 passenger OEM's production program. Let's now discuss in more detail our recent business developments. We are excited to be awarded a multiyear production supply agreement with the indoor lab. With over 15 years of experience, the company is a leader in AI-powered analytics solutions used to improve safety, security and operational efficiency at major U.S. airports, mass transit, agriculture and smart infrastructure. This production win represents a major expansion in security applications for Aeva and is also our first industrial production win for Atlas, our next-generation 4D LiDAR designed for mass production. Under the agreement, Atlas sensors will be integrated into The Indoor Labs LiDAR Overwatch Perception Platform and enable the enterprise analytics suite for critical infrastructure to perform around-the-clock AI-powered analytics and to monitor and manage indoor and outdoor environments. Indoor Lab is transitioning to Aeva 4D LiDAR for production deployments in order to leverage our superior capabilities such as direct velocity measurements and immunity to interference, but also importantly, because of our product scalability and the maturity of our Atlas product. Our first installations are at some of the largest and busiest airports in the U.S., starting with a new terminal at JFK in New York and multiple terminals at San Francisco International Airport. In addition, The Indoor Lab is planning to expand deployment opportunities of 4D LiDAR to other applications at scale for other airports as well as mass transit, agriculture and smart infrastructure applications across the United States. As we deliver on the initial deployments, we expect to scale our supply to significant volumes to support the deployments and other industrial security applications, resulting in estimated revenue opportunity in the multiple tens of millions of dollars over the next two to three years. We have already begun shipments to The Indoor Lab last month and plan to scale volumes in 2025. Moving now to the latest on the Daimler Truck production program. Torc, Daimler Truck's subsidiary that is developing the OEM's autonomous driving technology, achieved a significant step towards a safe and scalable commercialization of autonomous trucks. In a comprehensive validation milestone, Torc trucks equipped with Aeva 4D LiDAR with 360 degrees field of view coverage successfully completed fully driverless runs at highway speeds of 65 miles per hour. This is a major accomplishment that clearly illustrates the tremendous progress and dedication Daimler Truck and Torc and partners are making to commercialize autonomous trucks on the U.S. highways by 2027. As the exclusive long-range and ultra-long-range LiDAR supplier for Daimler Truck's autonomous truck production program, multiple Aeva 4D LiDARs are being integrated into each truck for operation with Torc's Virtual Driver technology to enable highway speed autonomy starting with the Freightliner Cascadia platform. We remain on track with our start of production in 2026 to support Daimler Truck's planned market entry by 2027. In passenger vehicle, Aeva was selected for a major European passenger OEM's automated vehicle validation program. In collaboration with a leading simulation and validation technology provider, Aeva 4D LiDAR will gather ground truth data, which will serve as the benchmark for validating its next-generation vehicle automation systems, including sensing, perception, decision-making and control systems. The OEM's decision to use Aeva 4D LiDAR for this project is another example of the growing interest to leverage FMCW technology due to its ability to natively provide the additional dimension of instant velocity data, along with other advantages that are missing in conventional LiDAR sensors. We look forward to supporting the validation work and providing the OEM real-world experience with the differentiated capabilities of Aeva 4D LiDAR. Now moving on to additional opportunities that we are engaged on. We are highly encouraged by the growing interest in our unique FMCW technology and Q3 made strong progress on multiple automotive RFQs and engagements with leading OEMs. In particular, with a global top 10 passenger OEM that we have discussed over the course of this year, we have advanced through multiple phases of their RFQ now, having worked jointly on spec alignment on thousands of technical requirements and passing extensive manufacturing quality audits to be their potential Tier 1 supplier. Aeva has been down-selected to the final stage of the RFQ, and we remain in close collaboration with the OEM across their technical and commercial teams as they work through the finalization of the RFQ for the production program. To support our ongoing engagements and growing number of production wins, such as with The Indoor Lab, I am pleased to share that we have made the strategic decision and superb execution to pull forward the first shipments of Atlas by almost six months to this quarter. This was a massive team effort across the Aeva organization that meaningfully changes our ability to support recent production wins, pull-forward scaling of our Atlas deliveries and capitalize on additional interest for our unique technology. Atlas is our production intent product that was designed from the ground up to be automotive grade and scalable to mass volume. Based on our engagements, customers are increasingly looking for solutions that can be deployed at significantly greater scale than today's solutions. By accelerating the availability of Atlas, we believe this further positions Aeva to be in a market-leading position to not only deliver on our recent production wins, but continue to convert additional opportunities to production wins. With that, let me turn the call over to Saurabh to discuss the financials.
Saurabh Sinha: Thanks, Soroush, and good afternoon, everyone. Now let's review our Q3 financial results. Revenue in Q3 was $2.3 million, representing scaling of our sensor shipments to automotive and industrial customers as well as our Daimler Truck program. In line with our expectations, our non-GAAP operating loss was $31.4 million for the quarter. Gross cash used was $26.4 million in the third quarter, which is defined as operating cash use of $25.9 million and capital expenditure of $0.5 million. Aeva's liquidity totaled $259.8 million at the end of Q3, comprised of $134.8 million in cash, cash equivalents and marketable securities and a $125 million of available undrawn equity facility. We believe this places Aeva in a strong position to support our current production partners for their SOP launches as well as securing additional production program wins that our team is engaged on. As Soroush shared, Aeva continues to see growing interest for our unique 4D LiDAR. We are focused on meeting this increasing demand and securing additional production wins. Now I would like to turn it back to Soroush for closing remarks.
Soroush Salehian: Thank you, Saurabh. Over the course of 2024, Aeva has seen a sharp uptick in our commercial momentum. Starting with the Daimler Truck production award announced at the beginning of this year to more recently, our major expansion into security applications with multiple wins, we are converting more of our engagements to production wins as well as converting the won programs to growing product shipments and revenues. I would like to thank the Aeva team for delivering these wonderful achievements. Looking ahead, we see opportunity to further build on our growing momentum and are focused on executing on the multiple passenger RFQs and engagements such as the global top 10 passenger OEM that we spoke about as well as responding to the growing interest for our perception solutions in industrial automation, security and other applications. With an expanding list of industries looking to leverage FMCW advantages for automation and perception solutions, Aeva is in a strong position to drive the adoption of 4D LiDAR in automotive, industrial, security and beyond. With that, we will now open the line up for questions.
Operator: [Operator Instructions] And we'll move first to Colin Rusch with Oppenheimer. Your line is open.
Colin Rusch: Thanks so much. Now that you've got a couple of wins on the security side, and with the ground truth, can you talk a little bit about what's going on with the potential customers in those areas? How many? Or just given a sense of growth in the number of customers and the scope of that opportunity over the next 12 to 24 months for shipments?
Soroush Salehian: Yes. Hi Colin, happy to answer that. This is so obviously as you've seen now over the past number of quarters, we have continued to really build up, and capitalize the momentum that we've seen in the market. Started off the Air Force with the major production win with Daimler Truck. We have since executed on all the milestones that we set out for us, as a company and in the market with customers as well as actually pulling forward the product with Atlas now by nearly six months, which was I think a big deal with the company across the organization to get this scale really in response to the growing demand. So to answer your question, with obviously now this additional production win industrial security within our lab, we're really excited about this. It's a major opportunity for us with the industrial production win, is the leader in the space, around LiDAR-based AI analytics across applications at airports, smart infrastructure, and other large, large venues. This is multiyear production supply deal we have. We're starting first with deployments across airports in the U.S., starting with JFK as well as in San Francisco airport, which we're excited about. And over time going to expand this additional locations over time. So we see now, this plus the national security innovation win that we had earlier, a significant opportunity. So with indoor as well as the other industrial security applications. To get to the bottom of your question, we estimate the revenue potential here to be approximately up to about $50 million in the next few years. So this is something that's obviously we see as the first opportunity and over time, as vendor, lab and other applications continue to grow their platforms and the deployments with new sites, we see the revenue potential today could grow over time. So in a nutshell, we're really excited about the progress we've made. It's not just in automotive, which we're really working well and progressing well, but also industrial and other applications.
Colin Rusch: Excellent. And then as you work towards production with Torc, can you talk about the remaining key manufacturing hurdles that you guys are looking at and we'll be able to talk about with public markets over the next couple of years?
Soroush Salehian: Yes, sure. So, far we've been really well on track, and really well aligned with Daimler Truck and Torc, our partners for production here. We have hit all the milestones, everything we've been planning on with Daimler Truck and Torc, towards their SOP milestones. And importantly, Torc and Daimler also have been continuing hitting their milestones, right. So with what we've seen and talked about and Torc made a release about in the past few days. This validation of their driverless operations at highway speeds, without a driver in the cab is a critical milestone, not just for Daimler Truck, but also for the industry. And this is further, confidence building towards the timeline of our SOP, which obviously is in 2026, but also Torc Daimler Trucks market entry in 2027, which by the way, they have reiterated even as often past few days. So for what's going on from here from now on, first of all, this year at this point we have now, we continue to scale on sensor shipments to Daimler Truck and Torc. We've actually completed all the sensor shipments deliveries that we need to do for our Aeries II platform with Daimler and Torc this year on time, or ahead of time a little bit. And we're now of course focused on deliveries with Atlas into next year. So that's kind of where the key focus is. And the key milestone is going to be the validation for the rest of the Torc fleets as they scale into next year, as well as some of our automotive qualifications and making sure that, we bring up the scaling production line for our Atlas up to the levels that needed to for mass SOP throughout next year. So that's kind of the focus that we see in the next number of quarters ahead of us, but overall we're really progressing well. We're on track and we actually, because we've been able to pull forward now this Atlas deliveries, we are also using that to capitalize on our momentum in other programs in automotive including other passenger vehicle OEMs.
Colin Rusch: Thanks so much guys.
Operator: [Operator Instructions] And we do have another question. We'll move next to Suji Desilva with ROTH Capital. Your line is open.
Suji Desilva: Hi Soroush, hi Saurabh. Congrats on the progress here. Question on the Tier 1 OEM win that you have here. Just can you give us an update on the progress there and the remaining milestones for that global Tier 1 program? It sounds like it's coming close to a decision point or volume ramp. Any color there would be helpful?
Soroush Salehian: Yes, Suji, happy to answer that. So obviously, we have been talking about our traction in the passenger car vehicle space in the past couple of quarters. Following our production with Daimler Truck, we have seen an uptick in interest for Aeva and for FMCW technology with the passenger vehicle, and our automotive market. And I think with our ability to actually pull-forward our Atlas deployments, and really hitting all the milestones for our ISO audit and certifications. We have continued over the course of this year across our engagements with multiple top passenger vehicle OEMs. Specifically for the top 10 OEM that you're - I think you're referring to, over the course of this year, we have worked extensively with this OEM, and we continue to do so, and we're on track on that. In a little bit more context, we have been obviously working from evaluation of the technology earlier in the year, throughout really going through all the extensive testing together with this top 10 OEM. We have completed and passed all the critical manufacturing quality audits that helps us to build maturity as a Tier 1 supplier and gotten the approvals for that, leading to our ability to manufacture for them. We have jointly also worked together through their technical teams, aligning on all the requirements, thousands of technical requirements that have been aligned in the past number of months and very close engagement there that we have done. And then more recently, we've been now down-selected the final stages here and are now discussing commercial terms. So that's what I can share. Obviously, we are gaining continued confidence in the OEM as they move towards finalization of the RFQ for this vehicle program, as you mentioned. And obviously, there's many factors that go into the decision and - but we are feeling overall good about the progress that we have had with this OEM. And this is, lastly, the second time that we have done this now, first with Daimler Truck and now with this OEM in the passenger car space.
Suji Desilva: Okay. Great. And would you be able to share, Soroush, if there are other competitors in the down-select or whether it's just you kind of moving into new milestones?
Soroush Salehian: Yes. So look, what I can say, obviously, is we are at the final stages of the RFQ and have been multiple down-selects, right, in that, and we think we're in a good position with this passenger win.
Suji Desilva: That's fair. And then switching over to the Indoor Lab partnership, I'm wondering how does the financial opportunity for that play out as you start to develop, I guess, customers together or a pipeline together?
Soroush Salehian: Yes, absolutely. So we spoke a little bit about this earlier. But in general, obviously, The Indoor Lab partnership is a multiyear production deal that we have with committed volumes. And we're starting together really to deploy our technology with 4D LiDAR as well as their analytics solution across a number of airports, large venues and transit -- mass transit applications. We're starting with JFK airport and San Francisco airport. And the overall progress of Indoor Lab is really to go after a number of different application installments. With the opportunity here that we're talking about with Indoor as well as some of our other industrial security applications, we estimate that the revenue potential for this to be approximately in the $50 million range, over the next few years. And this is the starting point of what we see with these opportunities. And as there is growing interest for the platforms and new sites and applications, we think the potential revenue opportunity here to grow over time. So this is - we don't think by any means any kind of ceiling here just kind of the first deployment. So hopefully, that answers your question.
Suji Desilva: No understood. Thanks Soroush.
Operator: We'll take our next question from Richard Shannon with Craig-Hallum. Your line is open.
Tyler Anderson: This is Tyler Anderson on for Richard Shannon. Thank you for taking my questions. I was wondering if there was any qualitative differences between all of the places that you're looking to get into for indoor and outdoor. And also, what was the pull-forward for the shipment about? Is that something that was a technical or a manufacturing matter? Could you describe that a bit for us?
Soroush Salehian: Sure. Yes. So obviously, with our growing interest for our technology with 4D LiDAR and FMCW, we're expanding our applications and really capitalizing on the growing interest in the market. So I think your question around industrial applications, obviously, besides what we talked about in automotive with Daimler and the passenger vehicle OEMs that we have advanced on, besides this European OEM validation program that we won. We have secured a production win with The Indoor Lab on the industrial side. But this actually is for indoor and outdoor applications. So it's not just indoor application. But the key there for them actually has been that they've been looking at obviously different technologies in the space. They have validated different types of technologies and decided that 4D LiDAR is where they're going to go with as they go in terms of production scale. That's the transition they're making. Part of the reason, and we've seen this over and over, is around the advantages of velocity dimension, the advantages of interference immunity, right, not having issues with interference, blooming, as well as, I think, importantly, our ability to show not just superior capability, but also maturity of our Atlas products. And these were kind of some of the key drivers, especially when you talk about monitoring analytics of different behavior. People in different settings inside the airports as well as outside. And to your other question about Atlas and pull-in, this has been obviously a strategic decision that we made earlier in the year. The moment we announced Atlas following the same time with our win with Daimler Truck, we saw a sharp uptick in the interest in the market for our products. And our team has been working together for the past number of months across engineering as well as manufacturing operations to really pull-forward these Atlas deliveries by about six months or so. So that's something that we has taken a significant amount of effort from the team. But in general, of course, with nonautomotive applications, we see the ability to pull this forward because often they don't necessarily need some of those automotive qualifications or certifications to be completed yet, so which is obviously ongoing and on time for our Daimler Truck SOP. So all this, I think, has resulted us in our ability not just to deliver, on the existing programs with production programs that we have, but also win additional programs. And what we're going to do here, what we're planning on forward is continue on capitalizing on this momentum, not just executing on our existing programs, but also converting those additional opportunities to production wins, and then those wins to growing shipments and revenue. So that's kind of how we've been operating.
Tyler Anderson: And then, are there commonalities between the indoor and outdoor opportunities that you're looking at? Is there a population, or a geographical situation that you're looking for when you're entering into a space?
Soroush Salehian: You're talking about specific to the industrial sensing, right, Tyler?
Tyler Anderson: Industrial or mass transit and smart infrastructure?
Soroush Salehian: Sure. Yes. So first of all, in what we are seeing, the growing interest there in the industrial security, there is - across different regions, our first deployment is starting in the U.S., obviously, with our - this first national security organization program that we have and now with Indoor Lab. And these are actually both indoor facing. So some of these, for example, in the terminals with SFO and JFK are looking at inside the terminal, looking for monitoring of people, wrong behavior or bad behavior, tracking analytics, queue times, things like that. So there's a number of different applications. It's monitoring also on the outside, for example, looking at airplanes and on-time docking and undocking. But also, there is other applications outdoor for just security monitoring around defenses and perimeters, which are some of the different customers. So though from a commonality you're talking about is all the same Atlas product that we have been working on that. Is for automotive that we're providing here for these industrial security applications, be it indoor, be it outdoor, be it for perimeter or mass transit applications, that's some of the, I guess, beauty of kind of the platform that we have built that is highly software configurable and flexible in those applications.
Tyler Anderson: Thank you. Appreciate your time.
Operator: There are no further questions at this time. This does conclude today's program. We thank you for your participation. You may disconnect at any time, and have a wonderful afternoon.